Operator: Good day, everyone, and welcome to NEXON's 2025 Q2 Online Earnings presentation. Today's presentation is being recorded. You can listen to the audio in your preferred language. I will now hand over to Takanori Kawai, Team Leader of Investor Relations. Please go ahead, sir.
Takanori Kawai:
Team Leader of Investor Relations: Hello, everyone, and welcome to NEXON's earnings conference call. Thank you for joining us today. With me are Junghun Lee, President and CEO of NEXON; and Shiro Uemura, CFO. Today's call will contain forward-looking statements, including statements about our results of operation and financial condition, such as revenues attributable to our key titles, growth prospects, including with respect to the online games industry, our ability to compete effectively, adapt to new technologies, and address new technical challenges, our use of intellectual property and other statements that are not historical facts. These statements represent our predictions, projections, and expectations about future events, which we believe are reasonable or based on reasonable assumptions. However, numerous risks and uncertainties could cause actual results to differ materially from those expressed or implied in the forward-looking statements. Information on some of these risks and uncertainties can be found in our earnings-related IR documents. We assume no obligation to update or alter any forward-looking statements. Please note, net income refers to net income attributable to owners of the parent as stated in NEXON's consolidated financial results. Furthermore, this conference call is intended to provide investors and analysts with financial and operational information about NEXON, not to solicit or recommend any sale or purchase of stock or other securities of NEXON. A recording of this conference call will be available on our Investor Relations website following this call. Unauthorized recording of this conference call is not permitted. Now I'll pass the call to Junghun.
Junghun Lee: Thank you, Kawai-san, and good afternoon, everyone. Thank you for joining our call. Today, NEXON posted a letter, slide deck, and press release detailing our Q2 performance and Q3 outlook. I will start by offering context on recent milestones and then hand off to Uemura-san to provide financial highlights. NEXON delivered a highly positive performance in Q2, highlighted by the revitalized momentum in established games and solid results from new titles. This includes 60% YoY growth in the MapleStory franchise, strong growth in Dungeon&Fighter PC, a solid performance from FC Online, and an impressive contribution from an all-new game, MABINOGI MOBILE, which accomplished a remarkable start in March. We achieved better-than-expected Q2 results with revenue of JPY118.9 billion and operating income of JPY37.7 billion, 8% and 21% above the high end of our guidance, respectively. YoY revenue was down 3% on an as-reported basis and up 6% on a constant currency basis. Operating income was down 70% on an as-reported basis and down 10% on a constant currency basis. NEXON has reignited growth in key titles, created momentum for recent launches and successfully introduced new service to expand our presence in large global markets. Player enthusiasm for Dungeon&Fighter content update delivered a solid recovery and 67% YoY revenue growth on Dungeon&Fighter PC. In Korea, we set another record for quarterly revenue with MAUs and PUs, which nearly doubled, helping to deliver 132% YoY revenue growth. In China, the powerful performance of the Labor Day and Anniversary update succeeded in returning dormant players, delivering double-digit YoY growth and pushing June MAUs and PUs to their highest levels this year. For Dungeon&Fighter Mobile, we see improved prospects in Q3, driven by a series of updates during the quarter, beginning with the July level cap increase, or expected to drive modest sequential revenue growth. We have also made progress in co-developing new content with Tencent, which is on track for release later this year. And one more note on the Dungeon&Fighter franchise, while we negotiate with the union representing our new studio, we are doing our best to ensure smooth game operation without any disruption. We do not expect an impact on our Q3, and we will keep investors advised if we believe the situation will have a material impact on the game's performance. Moving to MapleStory. The franchise delivered another exceptional performance with revenue growing 60% YoY, driven by strong growth in the core PC game in Korea, plus the regional expansion of MapleStory World. In June, a summer update for MapleStory in Korea contributed 91% YoY growth, which included a record 25% market share in PC Cafes. Additional content released our planned in Q3 to maintain this strong player engagement. And in the West, MapleStory delivered 36% growth. Our strategy for growing the MapleStory IP includes the introduction of additional experiences, which expand the franchise into new regions around the world. Two recent developments reflect that strategy. MapleStory Worlds, a UGC platform operating over 20 years of MapleStory assets, achieved 7x year-over-year growth in Q2, following the rollout in EU and Asia. And an all-new game, MapleStory: Idle RPG, is expected to further expand the fan base created by our strategic partnership with developer, Able Games. MapleStory: Idle RPG is scheduled for a global release later this year. The MapleStory franchise has become a flagship in NEXON's strategy of driving vertical growth by leveraging the popularity of well- established IP with hyper localization as well as new experiences designed to excite core and attract new players. In many respects, the franchise is transforming into a platform for multiple experiences that ties to the MapleStory IP. Next, the Mabinogi IP is tracking to deliver on its potential to become a sustainable contributor in NEXON's franchise portfolio. In Q2, MABINOGI MOBILE exceeded our outlook with strong MAUs, PUs, and ARPPU. And in June, we conducted a successful Alpha test for Vindictus: Defying Fate, our Mabinogi franchise extension, which became the most played demo in the Steam Next Fest. Another game expected to expand NEXON's international footprint is ARC Raiders, a brand-new and highly anticipated shooter from Embark Studios. Scheduled for release on October 30, ARC Raiders is currently the number six most wished list game on Steam and positioned for global success, particularly in Western market. Also on adaptation of THE FINALS developed for China in partnership with Tencent, has been granted an ISBN license and is now in a closed alpha-test. And this week, we announced Woochi the Wayfarer, an all-new AAA action adventure set in the Joseon era. The game is developed by NEXON Games for a global audience on PC and consoles. To summarize my remarks today, NEXON has demonstrated the strategy, execution, and experience to overcome setbacks, jump-start growth, and deliver promising new products. Our fundamentals are solid. Our strategy will define our resilience proven. NEXON is now positioned for breakaway success. With that, I will turn the call over to Uemura-san.
Shiro Uemura: These drove a stronger-than-expected revenue and operating income affected by negative FX impact, YoY revenue, and operating income decreased by 3% and 17% at JPY118.9 billion and JPY37.7 billion, respectively. While on a constant currency basis, revenue grew 6% and operating income declined 10%. Despite the outperformance in operating income, net income was below expectations at JPY16.8 billion due primarily to an FX loss of JPY17.5 billion on US dollar-denominated cash deposits. YoY, it was down 58% due to the aforementioned FX loss, while recording an FX gain of JPY8.2 billion in Q2 2024. Turning to the franchise review. The collective revenue for our three major franchises declined 13% YoY due to the Q2 2024 launch of Dungeon&Fighter Mobile. In Q2, Dungeon&Fighter franchise revenue declined 40% YoY. However, strong player enthusiasm for recent content updates delivered 67% YoY revenue growth on Dungeon&Fighter PC. In Korea, we accelerated the momentum that began in Q1 to set a new record for quarterly revenue. Both MAUs and PUs nearly doubled, resulting in 132% YoY revenue growth. In China, Q2 revenue exceeded our expectations and marked strong double-digit YoY growth, driven by the solid performance of the Labor Day update. Also, the Anniversary update was particularly effective in pushing both June MAUs and PUs to their highest level this year. For Dungeon&Fighter Mobile in China, Q2 performance was below our expectations due to the May anniversary update being less effective than anticipated at sustaining returning of players. Next, our MapleStory franchise delivered 60% YoY revenue growth, driven by strong performance of the core PC game in Korea, and the regional expansion of MapleStory Worlds in multiple Asian markets. In Korea, the summer update delivered a significant increase in active players. As a result, Q2 revenue grew 91% YoY and marked Q2 record. Global MapleStory revenue grew YoY, led by the strong 36% growth in Western markets, which delivered a successful 20th anniversary and a collaboration event. In April, MapleStory Worlds launched in multiple Asian markets and was particularly well received by players in Taiwan. As a result, our revenue exceeded our expectations and delivered more than 7x YoY growth. Turning to our FC franchise. FC Online exceeded our expectations, driven by a successful seventh anniversary update, which overcame lower seasonality to deliver both YoY and QoQ revenue growth. For MABINOGI MOBILE, the focus on a peaceful lifestyle elements, which differentiate the game from traditional combat-focused MMORPGs resonated well with the players. Following the highly successful March launch, the game exceeded our outlook with a strong MAUs, PUs, and ARPPUs. Moving on to our Q3 outlook. We anticipate another strong double-digit growth in two of our flagship titles, Dungeon&Fighter PC and MapleStory, along with the solid contributions from MABINOGI MOBILE and MapleStory Worlds. However, the YoY performance will be affected by Q2 2024 launch of Dungeon&Fighter Mobile in China and the Q3 2024 global release of The First Descendant. Consequently, Q3 revenue is expected to be in the range of JPY116.6 billion to JPY127.1 billion, representing a 14% to 6% decrease on an as-reported basis or 12% to 4% decrease on a constant currency basis YoY. We expect the Dungeon&Fighter franchise to decline by approximately 45% YoY. For PC Dungeon&Fighter, we anticipate continued strong YoY growth, both in Korea and China, while anticipating a sequential decline in revenue. For Dungeon&Fighter Mobile, we expect modest sequential revenue growth driven by a series of updates during the quarter, beginning with the July level cap increase. Moving to MapleStory, we expect the franchise to accelerate revenue growth to approximately 70% YoY. For the PC version of MapleStory in Korea, we anticipate revenue to more than double YoY, driven by the additional content releases to maintain the strong momentum generated by the summer update. We also expect MapleStory Worlds to significantly increase its revenue YoY again in Q3. Revenues from the FC franchise are expected to be roughly flat YoY and QoQ. We expect to maintain player engagement with our TOTS Team of the season update and marketing initiative of the Legendary Players Exhibition Match planned for September. Overall, we expect revenues from the three largest franchises in Q3 to decrease by approximately 10% YoY. Finally, for MABINOGI MOBILE, we expect some sequential moderation, but a significant contribution in Q3. Moving on to the operating income outlook, we expect Q3 operating income to be in the range of JPY32.7 billion to JPY41.2 billion, representing a 36% to 20% decrease on an as-reported basis, or 35% to 18% decrease on a constant currency basis YoY We anticipate increased royalty expenses and platform fees due to MABINOGI MOBILE. Also, we expect increased marketing expenses associated with the promotions for FC and MapleStory franchises, as well as MABINOGI MOBILE, and ARC Raiders. In addition, we expect increased fees to creators tied to revenue growth in the MapleStory Worlds. On the other hand, we expect a decrease in HR costs due to lower performance-based bonuses. Additionally, we expect a gain of JPY4 billion associated with the liquidation of our subsidiary funds. Despite the YoY operating income decrease, we anticipate net income to be in the range of JPY26.4 billion to JPY32.8 billion, representing a 2% decrease to 21% increase on an as-reported basis, or flat to 24% increase on a constant currency base YoY. This is due to the comparison against the JPY19.6 billion FX loss in Q3 2024. Finally, I will provide an update on our shareholder return initiative. Under the 1-year JPY100 billion buy-back policy announced in February, we repurchased a total of JPY50 billion shares by June 25. Also, today, NEXON's Board of Directors approved the execution of the repurchase for the JPY25 billion worth of shares scheduled from August 14 to October 31. We plan to complete the repurchases of the remaining JPY25 billion worth of shares by February 2026 at the latest, with the consideration of factors, including investment opportunities, financial conditions, and the market environment. We remain committed to actively returning capital to our shareholders while enhancing capital efficiency. With that, I will return the call back to Junghun.
Junghun Lee: Thank you, Uemura-san. In summary, NEXON has reignited growth in our key titles and successfully introduced new games and service to expand our presence in large global markets. Looking forward, we are on a path to broaden our international footprint with new release that includes the October 30 launch of ARC Raiders and later with THE FINALS for release in China. This concludes our summary. Operator, we are ready to take questions.
Operator: If you wish to ask a question, please press the Raise Hand button on the screen. When the hand icon is displayed on your screen, that means you have raised your hand. When it comes to your turn, you will receive an unmute notification on your screen. Please unmute yourself and proceed with your question. This earnings presentation is conducted with consecutive interpretation between Japanese, English, and Korean. Even if the translation for your selected language has finished, the translation on the other language channel may be continuing. Please wait until the permission is displayed on the screen when you ask a question. We will begin taking your questions shortly. Please hold on for a moment. I would like to take the first question from Thomas Kwon- san from Daiwa. Please go ahead.
Kwon: Congrats on the strong quarter. I have two. First is among your upcoming game title, which is the new game building up the management's expectation for this successful launch, geographically, which is the market and commercially which game genre? I have the second question.
Junghun Lee: This is Junghun Lee. Thank you for your question. I'll be able to answer that. First of all, I would like to begin by saying that we are putting our utmost priority in sustaining the solid performances in Korea MapleStory and PC Dungeon&Fighter. Also for Mobile Dungeon&Fighter China, we are confident that the game will benefit with a better mid- to long-term performance as the co-developed content with Tencent is to be introduced later this year. Moving on to our pipeline. We believe the biggest upcoming momentum would be the launch of ARC Raiders. ARC Raiders, which is slated to launch on October 30, is continuing to gain strong traction and is currently ranked number six on Steam's top wish list worldwide ahead of its launch. So we believe the currently set USD40 price point for our creators will be received pretty well by players, especially within this market that's saturated with older and more expensive and more hardcore franchises. So we plan to sustain the game, the fun and the longevity of the game with our proven capability in live operations, as well as a steady stream of DLCs going forward. Adding on to that, we also have MapleStory: Idle RPG, which is planning for its launch later this year globally. With its casual and more lighthearted gameplay, we believe this title will contribute to expanding our fan base in a more broader spectrum. I'd also like to briefly touch upon our prospect for H1 of next year. So for the China service of THE FINALS, currently, we are conducting closed-alpha test, and we are seeing some highly positive trends from this testing. Now for your reference, THE FINALS, which is currently on its live service, was benefited from the continued efforts of the development team and NEXON's live operations and returned to a YoY growth trajectory. Also lastly, for next year, I would like to touch upon MABINOGI MOBILE, which is performing very well in South Korea. We are planning to bring the game to the global market next year. So it is quite a rare mobile game, MMORPG game, I would say, in terms of its interesting user demographics composition, which is split roughly in half by gender, that being around 54% male and 46% female, and the retention still remains very strong. So all in all, we believe MABINOGI MOBILE's gameplay holds much potential in attracting a wide spectrum of global users. So to summarize, NEXON will continue to make steady efforts to sustain our growth next year with some of the initiatives that I just mentioned, maintaining the stable trend in our live service, bringing on or executing on the momentum with new titles, as well as bringing our beloved, our games that are beloved in South Korea to the global market. That concludes my answer. Thank you.
Kwon: Thank you for your detailed comments. My second question is about the operating cost and margin outlook for H2 of this year and 2026. It is fair to expect any visible increase in the SG&A cost, especially the labor costs, mainly due to increasing pressure by both the game developers for more bonus payments and labor union for the better working environment. We have to expect this sharp increase in operating cost for staff and other operating expense.
Junghun Lee: Thank you for your question. I will be able to provide my answer first, and then Uemura-san will be able to add on to it later. For NEXON, we already have a competitive compensation system and structure in place to attract and retain great talent from the market. Going forward, there will be no abrupt increase in the total HR costs that sits outside of this policy. For your reference, we are doing our best to ensure smooth game operation without any disruption. In addition, we do not expect an impact on our Q3.
Shiro Uemura: So a little additional information from myself and the CFO regarding the SG&A, the labor estimation. We are trying to achieve the 2027 goals. And then we have been communicating that for that, we will be doing this investment for growth. And recruiting-wise, more or less, we are on track, and we are expanding our team to hit the 2027 goal. Total labor is looking smaller coming down a little bit because the incentive bonuses were smaller. And so we are actually recruiting, and we are expanding our capabilities. So again, we're on track, and we are investing in human resources, and we're prepping ourselves to achieve this necessary growth.
Operator: Nakata-sanfrom Goldman Sachs, please take the stage.
Nakata: I have two questions. The first question is about the Dungeon&Fighter PC. In Korea and China, sales are strong in each region, but what is the reason for the strong performance in each region? Also, please explain why you expect the QoQ sales of Dungeon&Fighter PC in Korea and China to decline in Q3. Has there been a recent slowdown in the user engagement?
Junghun Lee: This is Junghun again. Let me answer your question here. For PC Dungeon & Fighter, we have significantly expanded its content supply in H1 of this year, that aiming to reignite the game's momentum. Thanks to this effort, this game achieved a successful turnaround with clear growth in Q1. In particular, we believe that the strategy of increasing content volume supply to make up for our last year's struggle in the Chinese market was effective for this. Now to give a gist of my answer, there has been no recent slowdown in user engagement. Basically, Q3 might appear relatively moderate due to the very aggressive updates we had in Q1 and Q2. But basically, the growth itself is expected to remain steady and stable.
Nakata: Thank you foryouranswer to the first question. My second question, you're doing well in the Korean market but what do you see as the upside going forward, considering the size of the Korean gaming market, you already have high market share and the competitive environment. Do you think a further upside is less likely than in other regions? Also in terms of the sales composition by region from H2 of this fiscal year to the next fiscal year, with the launch of ARC Raiders coming up, do you expect a growth in the US and Europe, recovering in China, or further growth in Korea?
Junghun Lee: Sure. So I would like to begin by saying that we believe that there is significant potential for further growth upside within South Korea. As you know, Korea is definitely one of the world's largest markets in its volume. So basically, with MapleStory, Dungeon&Fighter and FC, NEXON already holds a quite dominant position in the PC platform market with our diverse portfolio. Still, we do believe that there is significant room for growth in the mobile market that we can tap into going forward in South Korea. NEXON will continue to maintain our steady and stable growth of our existing PC portfolio. But at the same time, we will also strive to expand our market share on mobile, thereby seeking additional growth upside in this country. For your reference, next year, we have World Cup, which is a significant seasonality factor for FC ONLINE, one of our largest franchises that we service, and this is being serviced only in Korea so we also do expect some additional growth upside from this. So in 2026, the Korean market will remain strong. And going beyond that, from the entire company's perspective, the market will serve as a stable foundation, which provides consistent returns, while we pursue aggressive growth in international markets. So all in all, for South Korea, we do believe we are maintaining quite a solid position, and there will be some further growth upside that we can tap into. And going beyond this region, of course, with our ARC Raiders launch coming up, we will also need to perform well in the Western region, including the EU and North America. And also for Dungeon&Fighter franchise by maintaining its positive trend, as well as launching some good, launching with good performance with THE FINALS and other China services that we are preparing, we will do our best to deliver some favorable trend in China as well. That concludes my answer. Thank you.
Operator: Next question from Zhai-san from the UBS Securities.
Yijia Zhai: I have two questions. The first is about The First Descendant. I read in the document that a Season 3 update can expect to bring in significant revenue growth. It can be as much as 3x QoQ. And I'd like to first understand how the scale volume was upon the release in Q2 and also why the Season 3 update is considered to be a very strong contribution. And also, I'd like to understand how we should think about this sustainability of this, the boost.
Junghun Lee: Thank you for your question. I'll be able to answer it. So as mentioned a little bit before our earnings release, The First Descendants did release our third season of the game. So for Season 3, we were able to supply a large amount of content, including dedicated support for our new players, as well as larger fields and eight-player rates, and et cetera, the content update was pretty big, so this is why we do expect sequential growth in revenue in Q3. So currently, we are immediately after the release of the update. So the whole team is monitoring, closely monitoring the overall trend post its release. So for The First Descendants, our live service team as well as operations teams, everyone there is making our utmost effort to reignite the growth of the title. And going forward, we will continue to make our best effort in making stable and growing live service of the game.
Yijia Zhai: My next question is China Dungeon&Fighter Mobile. You talked about this Q3 level cap and release, which has happened already, but you are only estimating the QoQ increase to be only slightly sequential increase. And why is it so limited? And regarding the Tencent co-developed the content, I believe it's going to be coming before the end of this year. And how are you foreseeing the revenue growth coming with it? What time, how much scaling can we actually expect to be coming from that effort?
Junghun Lee: Now I would like to begin my answer by referencing to the Anniversary update that took place in our Q2. So basically, the update initially did attract some dormant players, but it was unable to sustain this success. However, as you have mentioned, we did release the July Level Cap increase. And starting with that, we see improved prospects in Q3 mainly driven by a series of updates, including the Level Cap increase. We do expect some modest sequential revenue growth, thanks to all of those updates. And I would like to add a little bit on to my comments, touching on the mid- to long-term approach that we are taking, which is as important as the updates for our company. So the factor and the element that I am putting high importance right now is, as you know, our co-developed content with Tencent that will be coming to the game later this year. I just wanted to highlight this one fact, which I believe is a highly important piece to it. So the essence and the key to our collaboration with Tencent is that it is intended to change the development process to enable long- term growth rather than focus on short-term growth in revenue and traffic. So we do not anticipate an immediate and dramatic turnaround with just one single update. However, we do believe that our initiative with Tencent for greater adaptation with hyper localization as well as new experiences will gradually generate improved core metrics and performance over time at the end of the day. So we would appreciate your -- we will appreciate your interest and support in the longer-term and long-term perspective up to the -- from H2 of this year to next year is in terms of how Dungeon&Fighter Mobile achieved this improvement both in key metrics as well as the service. That concludes my answer. Thank you.
Yijia Zhai: I have a follow-up question. So I'm hear that long-term recovery can be expected from H2 onwards. What are the KPIs that we should actually be finding to be signaling that recovery to be kicking in? Company Representative So first of all, as our report covered this time, the core three titles, all of them are showing very solid recovery with the great confidence that we can have. And we are to continue this momentum with all the titles. And I know that there are two critical things. First will be a Dungeon&Fighter in China. As the CEO has been saying that it's going to be a long term in initiatives, but we are -- we need to actually bring it to regrowth the trajectory. And the second will be about the very promising pipeline titles, which will be coming from the second half. So first, we need to do this utmost preparation, including the R&D, to make the launch as successful as possible and also to retain the momentum that we create upon the launch and have this sustainability.Let me just clarify the question. So do you want to find out what would be the KPI that you should be watching out for Dungeon&Fighter Mobile? Apologies. So I'd like to actually talk specifically about Dungeon&Fighter Mobile. Earlier, my answer was about overall. So regarding the Dungeon&Fighter Mobile, the most critical will be to bring back the dormant players. And so the increase in MAU is going to be the very critical component of success. So first aim is to bring back the users to the platform and make sure that the whole platform is revitalized with rich content, hence, we will benefit from this increased revenue. Thank you for your question.
Operator: Next, Se-yon Park-san from Morgan Stanley, please.
Seyon Park: Hi. Can you hear me?
Junghun Lee: Yes. Please go ahead.
Seyon Park: Thank you. I have one question. I think most of the questions I had were already answered. It's relating to the MapleStory Worlds, which is a relatively new franchise. I think you mentioned that it's gotten quite positive reception in Taiwan. I'm kind of curious how different this game is to the original MapleStory, why it's gotten to be so popular in Taiwan. Is the MapleStory franchise already well recognized in Taiwan? And then just how, whether the whole concept and the game play, whether it's different and how sustainable do you think this is?
Junghun Lee: Thank you for the question. So I would like to begin by saying that MapleStory Worlds has significantly exceeded our expectations, achieving over 7x YoY growth. So as you have just mentioned, in terms of revenue, MapleStory Worlds is seeing the biggest success in Taiwan. So if I were to maybe see for the key driver behind this performance, it would be a world called Artale. Basically, it is a world that has already gained quite a great popularity in Korea, and it is well received in Taiwan. So basically, Artale is still performing quite positively in South Korea as well. And it is about offering an experience before a certain update that was done in the live service of the main PC game. So basically, it can be seen as a classic version of MapleStory. So in Taiwan, MapleStory PC service is definitely a predominant experience that everyone within the country loves. It is definitely receiving nationwide love from the country, and it is still maintaining its great performance. So we believe such reputation as well as enormous fan base within the region has backed our performance and success that we were able to see with Artale. So I would like to conclude my answer by offering my personal view in terms of the stability of the experience. Artale is, has already started its service a while ago in South Korea first, which means that it has some accumulated content. So up to now, with this accumulated content, I believe that it will be able to sustain its success in Taiwan throughout this year. And as you know, MapleStory Worlds is basically a UGC platform. So with killer contents like Artale, we will be able to gather some meaningful amount of traffic. And by helping those traffic creates a virtuous cycle within this platform, we'll be able to drive the overall growth of this entire platform itself. To achieve this and render great results, we will make sure we do our best going forward.
Operator: This concludes the question-and-answer session. Mr. Kawai, I'd like to hand over to you for any additional or closing remarks.
Takanori Kawai:
Team Leader of Investor Relations: Thank you. If there are no further questions, I would like to take this opportunity to thank you for your participation in this call. Please feel free to contact the NEXON Investor Relations at investors@nexon.co.jp should you have any further questions. We appreciate your interest in NEXON and look forward to meeting with you whether it is here in Tokyo or in your corner of the world.
Operator: That brings us to the end of the meeting. Thank you for your participation. [END]